Operator: Please standby. Good morning, ladies and gentlemen. Welcome to the Group 1 Automotive Incorporated first quarter 2009 earning results call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Mr. Pete DeLongchamps, Vice President of Manufacturer Relations and Public Affairs. Please go ahead.
Pete DeLongchamps: Well, thank you, [Kella]. Good morning, everyone and welcome to Group 1 Automotive’s 2009 first quarter Earnings Call. Before we begin, I would like to some brief remarks about forward-looking statements and the use of non-GAAP financial measures. Except for historical information mentioned during the conference call, statements made by management of Group 1 Automotive are forward-looking statements that are made pursuant to the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. Forward-looking statements involve both known and unknown risks and uncertainties, which may cause the company’s actual results in future periods to differ materially from forecasted results. Those risks include but are not limited to risks associated with pricing, volume and the conditions of the market. Those and other risks are described in the company’s filings with the Securities and Exchange Commission over the past 12 months. Copies of these filings are available from both the SEC and the company. In addition, certain non-GAAP financial measures as defined under SEC rules may be discussed on this call. As required by applicable SEC rules, the company provides reconciliations of any such non-GAAP financial measures to the most directly comparable GAAP measures on its website. I’m now going to turn the call over to our president and CEO, Mr. Earl Hesterberg. Earl?
Earl Hesterberg: Thank you, Pete, and good morning everyone. Before I turn the call over to our CFO, John Rickel, who will provide details on Group 1’s financial results, I’ll provide an overview of what we experienced in the first quarter. First there has been no appreciable change in the factors impacting new vehicle sales. Despite this unprecedented drop in new vehicle sales, we were able to remain solidly profitable in the first quarter, and actually improved our operating profit from the fourth quarter. Although, headline [star] numbers have bounced around in the 9 million to 10 million unit range during the first three months, as the levels of fleet deliveries have been impacted by the OEM’s prediction schedules, the underlying retail sales space did not varied much since last October. Traffic is still by far the biggest issue impacting us accounting for the biggest single factor in our business decline. Consumers faced with uncertainly regarding the economy and their own jobs are postponing vehicle purchases. We need to see some stability and then improvement in consumer confidence, before we can anticipate significant improvements in vehicles sales rates. Retail credit remains an issue as well with more conservative lending practices keeping a significant number of customers out of the market. For most of the quarter, the vast majority of the US auto dealers were buried with excessive new vehicle inventory. This put further pressure on new vehicle margins and used vehicle unit sales. In January, we announced that we had a goal of cutting $100 million in annual expenses. We targeted having those cost cutting measures in place by March 31st. Based on the hard work of our entire team, we were able to get a significant portion of those reductions in place earlier in the quarter than we had anticipated, as well as being able to take out more cost than we had targeted. Present tracking now indicates a full year reduction of $120 million in SG&A based on a $10 million SAR level. I am proud of everyone of our employees for contributing to this effort. Although we’ve made great progress in this area, our original $100 million cost reduction target was based on a $10.5 million SAR assumption, which now looks optimistic. At a $10 million SAR level, annual cost cuts approximating $120 million will be required. The second target we issued was reduction of new vehicle inventory by $150 million from the 2008 year-end level. I am happy to report that we also exceeded this target, as we successfully reduced our inventory by $209 million to $484 million as of March 31st. We reduced our inventory by approximately 7,000 units versus our target of 6,000 units, leaving about 16,000 new vehicles remaining on our lots. We are about where we would like to be on new vehicle inventories in total, but still higher than we would like with domestic brands. The fierce price competition driven by dealers trying to reduce inventory levels resulted in our same-store new vehicle margin declining to 5.4% in the quarter. It appears that imported luxury brand inventories have been reduced in the market and the industry should see margin slowly rebound from these abnormally low levels. Used vehicle demand has held up much better than new. Our use vehicle retail unit sales were down 23.5%. As the new vehicle sales decline constrained our supplier trade-ins and it was more difficult to source the vehicles at auction, as all dealers were scrambling to supplementary inventory. The decline in unit sales resulted in our 26.5% decline in used vehicle retail revenues in the first quarter. We believe that some used vehicle customers were switched from used to new vehicles as we worked hard to reduce new vehicle inventory during the quarter. In addition, as to manage pushed auction prices higher, we’ve remained cautious about buying vehicles above book values to the difficulty in getting customers finance for more than book value. We remain sort of where we would like to be on used vehicle inventory, but our inventory at quarter ended to 27 days supply. Used vehicle sourcing is still challenging, but we are being prudent with our vehicle acquisitions, both internally and externally, while we work to get the inventory, build backup to our targeted 37 days supply. One bright spot from the current used vehicle market dynamics is higher margins. Same store gross margin improved significantly from fourth quarter levels to return to a more normal rate of 10.9% for retail used sales. Wholesale result also improved significantly, the gross profit for wholesale unit increasing $145 to $153 profits per vehicle. Parts and service same store revenues fell 5.6% and gross margin contracted 190 basis points. The revenue decrease was primarily the result of declines in our wholesale parts and domestic brand customer pay business, partially offset by higher warranty business. In our finance and insurance business, same store gross profit for retail unit has been consistently more than $1000 since we implemented both efficiency and cost improvement initiatives. During the first quarter, gross profit per unit decreased $190 to $1035 per retail unit, as As financing penetration rates and loan amounts declined. The 39% decrease in finance and insurance same store revenues was driven by the retail new and used vehicle sales declines, we experienced during the quarter. Turning to first quarter brand mix, Toyota, Scion and Lexus accounted for 35% of our new vehicle unit sales trailed by Honda Acura with 14%, Nissan with 12%, Ford and BMW followed with 9% each of the companies unit sales. The balance of the mix was Chrysler over 7%, Mercedes of 6% and GM accounting for 4% on new vehicle unit sales. 25% of our new vehicle unit sales were from our luxury brands, reflecting a 200 basis point increase from the prior year period. Our import brands accounted for 56% of unit sales while our domestic brands contributed the remaining 19%. Our current truck sales mix was relatively consistent with last year, as cars accounted for 56% of unit sales and trucks remaining 44% of sales. Now, let me give you recap of this quarters corporate development activities. As previously announced, we acquired Hyundai franchise to augment our Huston portfolio earlier this month. We were able to purchase the franchise rights as-well-as the new vehicle and parts inventories and move it into an existing facility. A franchise is expected to generate $37 million in estimated annual revenues. We did not expect to acuire any franchises this year, however the opportunity was presented to us, and we felt it was a good addition with little capital required. We do not anticipate completing any further acquisitions in 2009. We also announced that we sold the franchise and property of a Ford dealership in the Miami area at the end of the first quarter. The store generated $39 million of revenues during the last 12 months. I’ll now ask John to go over our financial results in more detail. John?
John Rickel: Thank you, Earl, and good morning everyone. For the first quarter of 2009, our adjusted net income from continuing operations was $5.7 million or $0.24 per diluted share. This excludes the impact of the newly adopted Accounting Principles Bulletin 14-1, as well as $9.6 million after-tax gain on debt redemptions and a $0.5 million after-tax loss on the disposal of one of our Miami area Ford dealerships realized during the first quarter. On a comparable basis, net income from continuing operations decreased $11.2 million from $16.9 million in the first quarter of 2008. These results reflect our continuing operations which include all of our stores. While we are currently marketing several of our dealership operations for sale, we do not believe that these components of our company meet the criteria for reporting the discontinued operations, which requires a sale be considered probable of incurring within 12 months. Particularly in the currently economic environment, we do not consider such an assumption to be reasonable. Therefore, we have elected to not separately report the results of these components as discontinued operations. On January 1st, 2009, we were required to retroactively implement APB 14-1, which significant alters the historical accounting for our 2.25 quarter convertible notes. As a result, reported interest expense associated with these notes increases to an effective rate of approximately 7.5%. For the first quarter of 2009, our consolidated interest included 1.6 million of additional non-cash interest expense related to APB 14-1. In addition, the accounting under APB 14-1 reduces the gains recognized on the redemptions of these notes. In the first quarter of this year, we repurchased 30 million in aggregate face value of our 2.25 quarter convertible notes and we realized a gain on redemption of 16 million. But under APB 14-1, this gain is reduced to 7.4 million. We believe that the accounting required under APB 14-1 does not reflect the true economic reality of our debt arrangement. Therefore, we have and we’ll continue to separately report the impact of APB 14-1 in our earnings releases in order to provide a consistent, more appropriate basis for evaluate in our current results compared to historically reported results. One final point on APB 14-1, our covenant calculations all excludes the impact of this change. Turning back to the business, our top line results continue to reflect the negative impact of external factors such as the deterioration in consumer confidence, a decline in dealership traffic and a tougher lending environment. However, our bottom line results for the first quarter positively reflects the efforts of our team’s cost reduction efforts. As Earl just mentioned, we were able to get our cost savings measures in place faster than we’d anticipated and are on pace to exceed our $100 million reduction target. We are now targeting a $120 million reduction in full year 2009 SG&A cost as compared to 2008. The more rapid implementation of our cost actions contributed significantly to our first quarter results and allowed us to operate profitably in each month of the quarter. Our consolidated revenues in the first quarter of 2009 declined $483.4 million or 32.2% to $1 billion, compared to the same period a year ago, primarily driven by a decline in our new vehicle sales of $341.5 million or 38.4% on 37.1% less new retail unit. In addition, our retail used vehicle revenues declined $79.1 million on 23.5% less retail units. And our wholesale used vehicle business decreased $32.5 million on 35.4% less units. Revenues from our finance and insurance business decreased $20.4 million, reflecting the impact of lower new and used retail volumes. Finally, our parts and service decline $10 million or 5.2% in the first quarter of 2009 compared to 2008. Our consolidated gross margin for the first quarter of 2009 increased to 140 basis point to 17.9% as a result of improvement in used vehicle margins in the shift and revenue mix toward our higher margin parts and service business. For the first quarter of 2009, total used vehicle margins increased 70 basis points to 9.8%. Included in these results, use retail margins were basically flat at 11% or used wholesale margins improved 260 basis points to 2.7%. Offset in the use vehicle trends, consolidated new vehicle margins declined 100 basis points in the first quarter of 2009 to 5.4% or margins in our parts and service business declined a 190 basis points to 52.8%. Our consolidated SG&A expenses were $41.8 million lower than the first quarter of 2008 reflecting the accumulative cost savings initiatives that were completed by first quarter 2009. Unfortunately, because our consolidated gross profit decline $64.9 million or 26.2%, SG&A expense as percent of gross profit increased 510 basis point from 78.8% in the first quarter of 2008 to 83.9% in 2009. However, compared to the fourth quarter of 2008, our SG&A expenses as a percent of gross profit for the first quarter of 2009 improved 155 basis points. Consolidated floor plan interest expense decreased 25.4% or $3 million in the first quarter of 2009 to $9 million, as compared with same period a year ago. This decrease was the result of $128.6 million reduction in our weighted average borrowing, reflecting a significant reduction in our new vehicle inventory that Earl, discussed as-well-as a 68 basis point decline in our weighted average floor plain interest rate, which includes the impact of our interest rate slots. Other interest expense, before the impact of APB 14-1 decreased $2.4 million or 30.3%, to $5.4 million for the first quarter of 2009, as our weighted average borrowings of other debt declined $92.3 million and our weighted average interest rate decreased 88 basis points. The decline in weighted average borrowings primarily reflects the buyback of $63 million of our 2.25 convertible notes that we executed in the fourth quarter of 2008, and the additional $30 million of buyback that we executed in the first quarter of 2009. Manufacturer’s interest assistance, which we record as a reduction of new vehicle cost to sales, at the time the vehicles were sold, was 50.6% of total floor plan interest costs for the first quarter of 2009, down from the 64.3% level of coverage experienced in the first quarter a year ago. The declines stems primarily from the impact of our 550 million of fixed rate swaps that we had in place at Mach 31, 2009 at a weighted average interest rate of 4.7%. We reflect substantially all of the monthly contracts settlement of these swaps as a component of floor plan interest expense. Now, turning to same-store results. In the first quarter, we had revenues of $1 billion, which was a 32.4% decline from the prior year period. As the economy continue to contract, consumer confidence continue to decline, automotive sales dropped nationwide. Similar to the national results, our same-store new vehicle unit sales declined 37.1% with a revenue decline of $339.2 million, or 38.6%. We experienced unit sales decreases in each of the major brands that we represent spread somewhat evenly between cars and trucks. We believe that our new vehicle results are at least consistent with the retail performance of the brands that we represent in the markets that we serve. In our retail used vehicle business, same-store revenues slipped 26.5% to $220.9 million in the first quarter of 2009 and 23.5% fewer units. A partial offset was the continued growth in our certified pre-owned business with the mix growing from 31% in the first quarter of 2008 to 35% this quarter. We anticipate continued strength in this area, as more budget conscious consumers substitute certified pre-owned units for new vehicles. Our wholesale used vehicle sales were down $32.3 million or 48.6% compared with the same period a year ago, as the limited availability of used vehicles met more units being sold as retail unit, and as we continue to do a better job selecting units. Our same store parts and service revenue dip 5.6% in the first quarter of 2009, primarily driven by a 6.7% decline in customer paid parts and service revenues and a 9.6% decrease in wholesale parts sales, while our warranty parts and service revenues were about flat. The decline in customer paid business is primarily with our domestic brand dealerships. With respect to the wholesale parts segment of the business, the decline in revenues is primarily attributable to the negative impact of the economy on many of the second tier collision centers, which we do business with and our decision to tighten our credit standards in this area. We should bear in mind that the comparisons for this quarter and the next are the toughest for our parts and service business. We had some extremely strong results in the first half of 2008 before the economy started to slow that makes for difficult comps this quarter and next. Our same store F&I revenues were $31.7 million in the first of 2009, down $20.3 million or 39% compared to the same period a year ago. This decline reflects the decrease in new and used vehicle sales volumes, as well as the decline in our income for contracts for the arranging of customer financing. The income for contract decline was primarily related to subsidized financing offers by the manufacturers, which paid flat amount and tighter lending standards. The tighter lending standards coupled with requirements for more money down are also negatively impacting our penetration rates and amounts financed per unit. In the aggregate, our same store gross margin improved a140 basis points to 17.9% reflecting the 90 basis point increase in our total used vehicle margins to 9.9% and a favorable shift in our business mix to the more profitable parts and service business segment. A partial offset was 110 basis points decline in our same store new vehicle margin and a 190 basis point dip in our parts and service margin to 52.8%. On the new vehicle side of the business, gross margin decline primarily as a result of the excess inventory throughout the market, which resulted in a extremely competitive selling environment. As a result our gross profit for new retail unit decline $364 or 18.1% to $1647 per unit. Within the 90 basis point improvement in total used vehicle margins, our 10.9% used retail margin was substantially consistent with what we experienced in the first quarter of 2008, our used wholesale margins improved 270 basis point to 2.8% in the first quarter of 2009. Overall, our gross profit for used unit improved $60 to $1304 in the first quarter of 2009, with retail gross profit down $92 per unit, and wholesale gross profit more than offsetting this decline with a $145 per unit increase. The positive results in used vehicle profits for the quarter are reflective of a general stabilization in used vehicle values after the roller coaster ride that we experienced during 2008, as-well-as overall rebound in used vehicle values in recent months, particularly used truck values. Assuming that the stabilization in used vehicle values continues, we would expect the wholesale gross profit per unit to return to more normal levels closer to breakeven. Within our same store parts and service margin of 52.8%, our margins in the warranty parts and service segment were consistent with prior year, where we experienced a margin decline in both our customer pay parts and service in our wholesale part segment. As I mentioned earlier, we successfully implemented our cost reduction plans in the first quarter of 2009, which are now expected to save us a $120 million in 2009. As a result, our same store SG&A expenses declined $42 million or 21.8% to $150.2 million. Our personnel related expenses declined $26 million, while our advertising expenses decreased $5.1 million. Other SG&A expenses decreased $10.9 million, primarily related to reduction in vehicle delivery expenses, legal and professional fees and outside services. Unfortunately, the progress that we made in expense reductions was not enough to fully offset the decline in same-store gross profit that we experienced in the first quarter, and as a result same store SG&A as a percent of gross profit increased 290 basis points to 83.4%. Now, turning to liquidity and capital structure. We had $21.6 million of cash on hand as of March 31, 2009. In addition to our cash on hand, we use our floor plan offset account to temporarily invest excess cash. These funds totaled 62.3 million, bringing immediately available funds to a total of 83.9 million at quarter end. Further, we had an additional $97.8 million available on our acquisition line, bringing total liquidity to $181.7 million at March 31, 2009. As a reminder about our capital structure, we do not have any near term liquidity pressures, except for the Ford floor plan facility we face no significant debt refinancing decisions until March 2012, when our revolving credit and real estate facilities expire. Our Ford floor plan facility is an evergreen arrangement that was just renewed in December for 2009. Further, our 8.25 senior subordinated notes mature in 2013 and our 2.25 convertible notes are first splitable in 2016. Our top priority continues to be centered around cash generation to further strengthen our balance sheet. We believe our present financing arrangements are valuable assets that we intend to protect. During the first quarter, we used available cash to repurchase $30 million of our 2.25 quarter convertible notes. We have updated financial covenant calculations within each of our debt arrangements and as of March 31, 2009 we were in compliance with all such covenants. In fact, many of the ratios improved from fourth quarter levels reflecting the positive operating results in debt repurchases during the first quarter. With regards to our real estate investment portfolio, we owned $378.8 million of land and buildings at March 31, 2009. To finance these holdings, we have utilized our mortgage facility and executed borrowings under other real estate specific debt agreements. As of March 31, 2009, we had borrowings outstanding of $165.3 million under our mortgage facilities, with $69.7 million availbale for future borrowings. In addition, we had $51.8 million of borrowings outstanding under other real estate related debt agreements excluding capital leases. On March 31, 2009, we sold one of our Ford franchises in Florida along with the associated real estate. This real estate was financed through our mortgage facility. And as such, we used a portion the sales proceeds to repay $10.4 million of the mortgage facility in the first quarter. With regards to our capital expenditures for the first quarter, we used $7 million to construct new facilities, purchase equipment and improve existing facilities. We continue to critically evaluate all planed future capital spending, working closely with our manufacturer partners to maximize the return on our investments. We anticipate our 2009 capital spending will be less than $30 million. We also do not lend any additional real estate purchases in 2009. For additional details, regarding our financial condition, including the specifics regarding our covenant calculations, please refer to the schedules with additional information attached to the news release, as well as the investor presentation posted on our website. With that I will now turn back over to Earl.
Earl Hesterberg: Thanks, John. Before I go over our key modeling assumptions, I wanted to speak briefly about the situations surrounding GM and Chrysler. The latest restructuring deadlines are coming up quickly for each of these companies. Chrysler’s outcome appears to be dependent on a deal Fiat, while GM is working diligently on it’s own restructuring plan. We’re not certain what would be the ultimate outcome for either of these manufacturers, however, we are preparing for the various scenarios we potentially see playing out. The either company represents a significant part of our business. Chrysler related sales comprise less than 7% of our new vehicle unit sales, and GM related sales account for less than 4%. We have 15 stores between the two OEM’s, 7 with GM which are five Chevy and two Pontiac Buick GMC and eight with Chrysler. We feel confident that our stores can remain buyable automotive sales and service operations, regardless of the ultimate path to restructuring by these two companies. Our largest exposure with either manufacturers are new vehicle inventory. With the government already stating it would back the warranties on the new vehicles, we believe some of that risk is already mitigated. Beyond that we are working diligently to further reduce our new vehicle inventories with those brands. We may also be at risk for the receivables orders from the manufacturers, for advertising, warranty work et cetera. At quarter end, we had approximately $2 million of receivables on the books for each of the two manufacturers. In summary, we are confident that we’ll be able to manage through these challenging times. I’ll now review the key assumptions we used for modeling purposes. Industry seasonally adjusted annual sales rate or SAR up 10 million to 10.3 million vehicles. SG&A expenses as of percent of gross profit at 80% to 83.5% excluding any one time items, as lower sales revenues were expected to offset cost improvements. Total year-over-year reduction in SG&A expenses of $120 million at a 10 million SAR level, a tax rate of 40%, estimated average diluted shares outstanding of 23.2 million, and capital expenditures of $30 million or less. On a same-store basis, new and used vehicle margins consistent with 2008 fourth quarter levels, parts and services revenues 3% to 5% lower, finance and insurance gross profit at $1,000 to $1,025 for retail unit. That concludes our prepared remarks. In a moment, we’ll open up the call for Q&A. Joining me on the call today are John Rickel, our Senior Vice President and Chief Financial Officer, Pete DeLongchamps our Vice President of Manufacturer Relations and Public Affairs and Lance Parker our Vice President and Corporate Controller. I’ll now turn the call over to the operator to begin the question-and-answer session. Operator?
Operator: Thank you, sir. (Operator Instructions). We’ll take our first question from John Murphy with Merrill Lynch.
John Murphy - Merrill Lynch: This quarter was probably one of the cleanest, we’ve seen in a long time really just from the disc ops perspective. And, I think it’s probably the first time I remember that there being no disc ops included in the numbers. Obviously, the market is tough, so you’re probably pulling back a little bit on the sale of some of your underperformers. But, is this a reflection given the pretty good results here, there is just not a lot of dogs left in the portfolio?
Earl Hesterberg: John, this is Earl. No, our company has only used discontinued ops at least in the four years I’ve been here, one quarter and that was when we exited the [Abu Karki] market. So, we have not used discontinued ops on any kind of ongoing or regular basis. And to answer your kind of qualitative question, no, I think if we were in a good market, we would still be trying to enhance our portfolio a bit more particularly with some of the domestic brands. But, realistically in this market there are not very many buyers.
John Murphy - Merrill Lynch: Okay. So it’s a function of both sides of the equation?
Earl Hesterberg: Yes, that’s correct.
John Murphy - Merrill Lynch: Okay. Then when we look at the cost savings and the ramp up from a $100 to $120 million, is that sort of an all out euqal number, as if last year its been a 10 million unit market, and this year we’re at 10 million market or should we be thinking of last year’s levels essentially minus the 120?
John Rickel: John, this is John Rickel. Its basically last year’s absolute levels less the 120.
John Murphy - Merrill Lynch: Okay. And the reason that we’re focusing on the 120 is that you’re expecting closer to 10 million units are?
John Rickel: Thats, correct.
John Murphy - Merrill Lynch: Got you. Then also in the liquidation in the pricing pressure you are seeing in the market inventory by some dealers, is that Is that a lot more aggressive from some Chrysler and GM dealerships that you are facing in competition to your dealerships or is it kind of just really across the board?
Earl Hesterberg: Surprisingly, John, and this is Earl, it was across the board. In fact, some of the most aggressive selling in the first quarter were Japanese import brands. Maybe these dealers have never had such high inventory levels before. And now we are getting to the point in Q2, where at least our excess inventory now is centered on the domestic brand. So, depending on what happens here in the near term that situation could unfold that you mentioned that there will be more pressure on Chrysler, GM in particular. But, in the first quarter it was virtually every brand.
John Murphy - Merrill Lynch: And when we think about that new vehicle business that’s coming under pretty significant pressure, you often highlight underwater consumers as they come back into the showroom as a big problem in getting them financing into new vehicle, and getting a new deal done. When do you think that starts to ease or is that a problem that the industry is going to face and you are going to face for years to come?
Earl Hesterberg: John, I think we’re going to face it at least for the next year or two. There has been a little improvement simply in the four or five month consecutive improvements in the guidebooks on used vehicle, values particularly on trucks and SUV’s. So, we are seeing some of those values increase, which reduces a bit the upside down amount of some of these people are trying to trade in vehicles they purchased in the last couple of years. But, the big issue is the more restrictive lending practices of retail lenders on the new vehicles is just not advancing the amount on the new vehicle that they did in previous years. So, you just cant flip or burry, as much of the negative equity as you could in previous years. I don’t know when that returns, it doesn’t appear to be any time soon.
Operator: Moving on to our next question from Rick Nelson with Stephens.
Rick Nelson - Stevens Company: Question about how the business tracked during the quarter. We’re hearing about sequential improvement particularly, late March, are I guess less negative, late March and any feel for how April is tracking, would be helpful. Thanks.
Earl Hesterberg: Rick, this is Earl. Generally speaking, I haven’t seen any retail demand on new vehicles anywhere in the quarter or that’s far in April and the expert projections that we all get to read together still seem to point toward nothing above the 10 million SAR for April. I think the sequential improvement that we saw in the first quarter in our business was that the cost cuts ramped up. We got little bit stronger and healthier in terms of our profitability throughout the quarter as the cost cuts ramped in. Unfortunately, right now, what we have been able to accomplish with the business has all been on the cost side.
Rick Nelson - Stevens Company: Follow up on the cost cuts, how much of the cuts do you think are structural or permanent and how much was just flexing of the business?
Earl Hesterberg: It’s a little bit hard to say. We’ve taken a look at it, I think a conservative number would be 25% structural, or maybe a little bit more. We’ve asked our employees and they have been wonderful to make sacrifices during this time like a 401-K match. In some parts of our organization, people have taken across the board pay reductions, and clearly we would intend to reverse those as soon as the business is healthily again and growing, when automotive demand gets back up to more acceptable levels. So, some of that’s going to go back in automatically, and some of it we need to reverse some of the sacrifices our people made. But I would say somewhere 25% maybe little more. I’ll let John add his comments.
John Rickel: Yes, this John. Rick, I agree with that. I think it’s probably 25% to 30% of it are kind of structural improvements that stay out when things start to turn back up. So, I think Earl got it right.
Rick Nelson - Stevens Company: Thank you for that. Also, wondering if I could get the inventory days supply for new and used, and if you had it for domestic and foreign name plates on the new side that would be great?
John Rickel: Rick, this is John. Yes, we have got that once again caution that because of the way selling rates kind of bounce around, I am not sure how terribly meaningful those numbers are but for used vehicles, as Earl indicated, were light worked 27 days versus our targets 37, and it’s flipped basically evenly between car and truck on used. On new vehicle, total day supply was 72, and once again flipped pretty evenly between car and truck. Domestics would have been at the higher end of that and important luxury a little bit less.
Rick Nelson - Stevens Company: I mean how much inventory do you think we should be looking to come out. Are you targeting a 60 days supply?
Earl Hesterberg: Hi, Rick. This is Earl. Yes, we actually kind of target by brands, 75 domestics, 60 days import, and 45 days luxury. At this moment, we are probably still 1000 units high on the domestic but we’re going into what you would hope would be sizzling better time of year. I think, we are all little more cautious but yes normally May, June through August, you need more units. So I don’t know if we will get too much more out. I would prefer that we sell a little more but we’ll have to see what the market gets us. But, inventory is no longer our biggest issue other than those domestic issues which are pretty obvious with GM and Chrysler.
Rick Nelson - Stevens Company: Emerging new cars, the pressures that we saw on the first quarter given the inventory declines, should those pressures moderate?
Earl Hesterberg: I believe so. On new vehicles I believe so.
Operator: Moving on to our next question from Scott Stember with Sidoti & Company.
Scott Stember - Sidoti & Company: You talk about on the used side of the business, John, you already talked about on the wholesale side, how you expect gross profit to go back down flat. Maybe on the retail side, can you talk about how much you benefited from the significant swing up and then down, or down then up on the valuation side? And what could we expect for the total gross margin for you as going forward?
John Rickel: Yeah, Scott this is, John. I don’t think we got a huge amount of benefit. What we saw in the first quarter was the retail use margins basically came back to kind of the historical tracking levels, we were in 10.9%, 11% kind of on the used retail in the quarter and that’s kind of the historical levels for used retail. So, I don’t think there is a big benefit. Where I think we did pick up some benefit from the stronger auction values was more on the wholesale, which is what we talked about. We think that, that probably does come back to the flat going forward.
Scott Stember - Sidoti & Company: Got you. And, I don’t know if you talked about parts and service, what the customer pay number was on a same store basis?
John Rickel: Yes. Customer pay was down 6.7%, I believe.
Scott Stember - Sidoti & Company: And that explains the rather large decline I guess in the growth year-over-year?
John Rickel: Well, that certainly a portion of it, yes.
Scott Stember - Sidoti & Company: Okay. And also what was warranty?
John Rickel: Warranty was about flat.
Scott Stember - Sidoti & Company: Okay, and as-far-as the convertibles, I think Johns, previous calls or last year, six months go, you had said that you’re looking for about $0.30 worth of charges related to these new convertible rules. I guess just for the amortization of the discount. It looks like now we’re on a $0.16 rate for the year. Is that $0.04 that you had this quarter a good number to use for the rest of the year?
John Rickel: Scott, this is John. Yes, it is. We had previously indicated something on the order of $0.20 to $0.25. The biggest difference is we repurchased 90 million of those bonds, since we last talked about those numbers. So, yes, $0.16 is the right kind of full year number, $0.04 a quarter.
Operator: (Operator instructions). We’ll move on to Rich Kwas with Wachovia.
Richard Kwas - Wachovia: John, do you have any absolute dollar amounts for General Motors and Chrysler in terms of inventory at the end of the quarter?
John Rickel: Not at the end, Rich. I can get into to your later.
Richard Kwas - Wachovia: Okay, all right. Then on the floor plan notes as a percentage of total inventory, that’s seen a decline a little bit versus the recent run rate? I know that it’s not at the real low levels that it was couple of years ago, but what’s your explanation for that coming down?
John Rickel: Rich, this is John again. I think it’s primarily the fact that we had a significant amount of excess cash that we generated that we parked against floor plan notes. That’s our best place to invest excess cash. We had 60 million of basically equity if you will in the floor plan line.
Richard Kwas - Wachovia: Okay. And then, what was operating cash flow and CapEx for the quarter?
John Rickel: CapEx was 7 million.
Lance Parker: This is Lan Parker, operating cash flow was about $25 million.
Richard Kwas - Wachovia: Okay. And then I assume the use of cash going forward would be to repurchase that opportunistically, is that still the case?
John Rickel: Yes, that certainly, is one of the things we continue to look at is that we think that there is a number of opportunities out there and we continue to look at the various debt tranches.
Richard Kwas - Wachovia: And then Earl a bigger picture question. If any of these scrapage programs take effect, what’s your view on how much that would help the market and how used could potentially benefit specifically?
Earl Hesterberg : Yes. There has been a lot of conversation about that in clearly it’s a positive. I have seen estimates of about 750,000 units in terms of total industry uptick, which kind of seems about right to me, three quarters of of a million or a million. These types of programs which clearly are common in Europe tend to benefit manufacturers who are strongest in smaller cars. So I would expect it to be very good for the Japanese import brands, which would be good for our company. And cars like Ford has with Focus and Fusion may be the Malibu with Chevrolet and so forth. So, I am optimistic that there is a chance something will happen this year. The last I’d look, I think you actually followed both more closely than we do but there were three bills at one point in Congress i think in some form. So, I think that’s one of the potential positives on the horizon, and I am sure it would help our business on the top line.
Richard Kwas - Wachovia: I guess last question, if one of these programs goes through and there is a disproportionate number of car sold. How do we think about the impact on new vehicle margin overall, is it meaningful or not?
Earl Hesterberg : Well, normally it wouldn’t enhance our new vehicle margins and these scrapage programs normally require a contribution from not just the government but the manufacturer and the dealer. So, they are normally a little bit of a push back on new vehicle margin, but given the fact it were bad as low as any of us ever thought we could go on new vehicle margin, I don’t think there would be much margin impact. I just think it’d be incremental volume. Your risk is that at the tail end of a scrappage program, if the economy is not picking up, there will be some payback, because a lot of that scrappage volume or scrappage program volume ends up being pull ahead. So, if you could time it right just prior some kind of economic recovery, it would be a great thing for our industry right now.
Operator: Moving on to Matt Fassler with Goldman Sachs.
Matthew Fassler - Goldman Sachs: Thanks a lot and good morning to you. Just a couple of questions left to ask here. First of all, if you could give us a little more color on activity by market on the West Coast, Texas, etcetera, where there any significant changes in regional trends?
Earl Hesterberg: Yes, Matt, this is Earl. The only real change in regional trends through the first quarter is that Texas in particular has gotten progressively weaker. Overtime, I believe the energy business is a primary driver in Texas and also Oklahoma, you know natural gas and oil and as that business has been a bit softer, we have seen new vehicle volumes drop more dramatically in kind of our home markets Texas and Oklahoma this year. California has flattened out for us anyway, and set a very low level, but its not declining anymore. Boston in the Northeast where we have a concentration is down, but it’s probably held that better than we would have expected. And as you would expect New York and New Jersey, they’ve taken quite a hit, presumably because of all the financial related businesses there. And then, Southeast has been fairly flat, its been down for sometime.
Matthew Fassler - Goldman Sachs: Great. Second question, as you think about cost cuts, you have the 100 now down to 120. I know there is sort of hard to break this out perhaps, but looking at your so called structural reductions versus the additional reduction associated with variable cost, any update on what your thought process is there?
John Rickel: Matt, as Earl indicated, this is John, we still think probably 25% to 30% of that are structural longer terms phase that we’ll stick with it when things start to turn back up.
Matthew Fassler - Goldman Sachs: Got it. And then finally, you’ve commented a lot on the new car market and new car margins in particular, which is where my focus is. I know that the turn of business from a sales perspective doesn’t seem to have improved. Have you seen any abatement in some of the promotional pricing that’s put some pressure on new car margins? And how long do you think this new car margin situation can continue particularly if you do have some fall out associated with the OEM structuring?
John Rickel: Yes, Matt, this is John. Those are good questions but our view is that with the biggest driver of the promotional pricing with the fact that everybody got caught with way too much inventory coming out at the end of fourth quarter. And I think, there has been good progress across the industry. I mean, we clearly bought a lot down, one of our competitors that announced last week, looks like they made good progress. If you look at what is going on with the manufacturers schedule, they’ve shut a lot of plants, they have been pretty responsive. And our sense is that inventory levels are beginning to move back to more normalize levels, which really should help. If there is something that goes on with Chrysler or GM, clearly that could throw some disarray around the domestics for a period of time. But, absence that, our sense is that if the inventory levels start to sort out, you should see a slow rebuild in those new vehicle margins going forward.
Operator: (Operator instructions). We’ll move on to Jordan Hymowitz with Philadelphia Financial.
Jordan Hymowitz - Philadelphia Financial: Hi, guys. Two quick questions. One is you just mentioned that the Texas environment was slowing a lot. And it’s funny, I was just listening to the [Meritage] press release and they said that Texas was actually strengthening. So, I am just trying to correlate the two that usually on our home sales in the same market is generally correlating. Is there a region in Texas that’s doing better for you, or worse or..?
John Rickel: Not really in Texas, our new vehicle sales volume, and of course we are very strong in Houston, as I expect you know, is dramatically down year-over-year. It is now the used vehicle business is relatively strong in Texas, but now including Dallas, Houston, [lot of] our new vehicle sales are down more year-over-year in Texas [and in the all our] other markets. So that has been a change this year. But I am just speaking about our dealerships in new vehicles when I say that.
Jordan Hymowitz - Philadelphia Financial.: Okay. Second question we adjusted the cash for clunkers bill. Do you know if the car is turned in under that whether it would have to have salvage title or whether not it could be resolved by you again.
Earl Hesterberg: That’s a great question and it’s one I hear everyone debating everyday. I do not know the answer. In Europe, when they had these programs, the vehicles have to be scrapped and there is a recycling and disposal mechanism and infrastructure in Europe to handle that. In the US, we don’t believe we have that infrastructure, and we’re not exactly sure how that type of program would be executed to make sure those cars just unflip, back out in the secondary market again. So, that’s one of the real unknowns on these proposed program. So, unfortunately we don’t know the answer to your question Jordan.
Jordan Hymowitz - Philadelphia Financial.: Do different bills propose different things or it just might address this point?
Earl Hesterberg: I’m not knowledgable enough to tell you that Jordan. I don’t know if ---
John Rickel: Jordan, this is John Rickel. I haven’t seen the details. It’s been a question that I have been looking at and so far what’s been released so far in the legislation, I haven’t seen the details on that.
Earl Hesterberg: The vehicles in Europe typically have to be nine or ten years old, but they have to dismantle our infrastructure in Europe, so it works easily there. I don’t really know that’s a really hard thing to execute here, to actually scrap these vehicles and have proof in the administration required.
Jordan Hymowitz - Philadelphia Financial.: Okay, final question is, in a bankruptcy, the used GM dealers, can they just close them as opposed to, I know there is specific buyer provision, if it’s non-bankruptcy but what happens in the bankruptcy to used GM dealers lets just say for example, what Pontiac, have they disclosed Pontiac?
Earl Hesterberg: Well Pontiac is not a big issue, because that’s part of Pontiac view at GMC distribution network and the two dealerships we have. The primary volume comes from selling GMC trucks and until lesser degree of Buick. But the way it actually was working bankruptcy is whether or not the manufacturers decides to continue to acknowledge and accept your sales and service agreement, and that’s up to the manufacturer. We believe our dealerships are in key metro locations on freeways. Things like Chevrolet would have a lot of value to reorganize GM when they come out of bankruptcy, if they go into bankruptcy. That’s a general concept, if you follow my meaning.
Jordan Hymowitz - Philadelphia Financial.: Actually I apologise. Could they just say to you, we don’t want that dealership anymore, we are not going to support it.
Earl Hesterberg: Yes they could, that’s my understanding is under bankruptcy, dealership sales and service agreements are not necessarily valid into the future, it’s at the manufacturers at discretion.
Jordan Hymowitz - Philadelphia Financial.: So, they could just terminate it without a payment and in the case of Pontiac, since it’s Pontiac Buick GMC, would there be a payment received by you because there is...?
Earl Hesterberg: Under bankruptcy, no, its not likely.
Jordan Hymowitz - Philadelphia Financial.: Okay. So, objectively you’d prefer these companies not going to bankruptcy because then at the very least there is a greater chance of the dealerships having value as opposed to up to their discretion.
Earl Hesterberg: Yes, for a variety of reasons we definitely would prefer that these companies do not go into bankruptcy. The continuation of the sales and services agreement is foremost but there is also receivables and the value of the inventory and the interim and so forth. We definitely would prefer they don’t go into bankruptcy.
Operator: And we’ll take our final question from Matt Nemer with Thomas Weisel Partners.
Matt Nemer - Thomas Weisel Partners: Just turning to the General Motors, Chrysler discussion again, in terms of the inventory if there is a loss of value on that inventory and there is some risk to the floor planning of that inventory, what’s the contingency plan? Are you able to potentially have another OEM floor plan company picked that up or it seems like you’ve enough cash to cover it, I was just wondering what your plan would be?
John Rickel: Matt, this is John Rickel. Yes, we basically floor all of our inventory other than the new Ford through our credit facility. So it’s a consortium banks and OEMs. And it’s our view that there is not a provision within the credit facility that would allow them to curtail the lending on those specific units.
Matt Nemer - Thomas Weisel Partners: Got it. Okay. And then just turning to the topic of SG&A, should we assume that you exited the quarter at about $120 million of reductions, and then is there any chance that that number moves higher in the current quarter. Is there another $20 million or say $30 million that you can potentially get out or you done?
John Rickel: Matt, this is John. The way we are trying catch this is basically once again, looking at what is the reduction in SG&A on a full year basis. So the target that we have given 120 is a full year reduction in 2009 SG&A as compared with 2008. And that’s why we move the number up to 120s. We think that the pace that we are on will get us a 120 out in the full year.
Matt Nemer - Thomas Weisel Partners: Okay, and then looking at the cost structure, after these cuts, can you give us some indication of where you think you are fixed to variable ratio as on expenses? On a grey there but....?
John Rickel : Yes, I can say. This is John, I mean its clear I think we have moved the ratio up, so it used to be we tell you its kind of 50-56 variable. Given that the progress that we have made, it’s probably close to 60-40 at this point
Matt Nemer - Thomas Weisel Partners : Got it. And then my last question is kind of bigger picture question, but just looking at the potential decline in the number of dealer points in the US, do you feel like a lot of these points that are coming off the system are mostly rural rather than urban? What’s the mix in terms of the decline of sales points and will these do you expect that many of these will just shutdown or do you think these dealers will potentially just run a service in used car operation or potentially bringing another brand?
Earl Hesterberg : That’s a good question, Matt. To date, I think a lot of the points that have gone out of business or been intentionally consolidated by the manufacturers have either been rural or kind of trench outside metro areas. But, we are starting to see that change recently with more dealers going out in Los Angeles. We even had some close down here in metro Houston. So I think we are now entering the stage of the cycle where some metro dealers are because they’ve high cost, so obviously particularly rent and so forth. We are starting to see that change. The number of dealers projected to be eliminated by General Motors is such a staggering number, I think from 6200 to 3600. I honestly don’t know how they can accomplish that dealing with growing concern and state franchise loss. So, you would have to reduce across the board in all markets, major middle end world to get that kind of number out.
Matt Nemer - Thomas Weisel Partners : Are you seeing any insignificant closings for import brands or luxury brands?
Earl Hesterberg : No, I can’t say I have seen a lot. There has been some in California, some Nissan dealerships in particular, but the Japanese import number and the major luxury brand number is holding up quite well.
Operator: There are no further questions at this time. I’ll turn the conference over back to Mr. Earl Hesterberg for closing remark.
Earl Hesterberg: Thanks all of you for joining us today. We are looking forward to updating you on our 2009 second quarter earnings call in July. Have a good day.
Operator: Ladies and gentlemen that concludes today’s conference. Thank you for joining and have a wonderful day.